Operator: Good day, ladies and gentlemen, and welcome to the Acxiom Second Quarter Fiscal Year 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Jay McCrary, Acxiom's Treasurer. Please go ahead, sir.
Jay McCrary: Thanks, operator. Good afternoon, and welcome. Thank you for joining us to discuss our fiscal 2014 second quarter results. With me today are Scott Howe, our CEO; and Warren Jenson, our CFO. Today's press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. For a detailed description of these risks, please read the Risk Factors sections of our public filings and the press release. Acxiom undertakes no obligation to release publicly any revisions to any of our forward-looking statements. A copy of our press release and financial schedules, including any reconciliation of non-GAAP financial measures, is available at acxiom.com. Also during the call today, we'll be referring to the slide deck posted on our website. A link is also included in today's press release. At this time, I'll turn the call over to Scott Howe.
Scott E. Howe: Thank you, Jay, and good afternoon, everyone. Thanks for joining us today. Let me start by saying that while we have a long way to go, it is a great time to be at Acxiom. A little over 2 years ago, we started this journey with a few simple but fundamental goals: Stabilize the business, focus on our largest customers, run a better business and drive higher levels of accountability into each of our business units and return to our roots, invest in innovation and technology for our future. Since that time, we have done just that. We revitalized our management team, most notably by adding Warren, Phil and Donna [ph]. They, in turn, had significantly strengthened their teams and continue to do so. We maniacally focused on our top customers. For the last 10 sequential quarters, revenue from our top 100 customers has grown year-over-year. On the business side, we are close to being in a position where each business can operate independently. Our U.K. call center business has fully separated and as Warren will mention, by the end of Q4, ITO will be fully capable of standing on its own legs and being run independently. Further, we have clear measurements in place, a solid cadence of management reporting and a long-term roadmap. Next, under Dr. Phil's leadership, we set out not to just incrementally improve our product offering but to change the game. On September 24, we launched the Audience Operating System or AOS. For the first time in the history of marketing, advertisers and publishers can now truly market with precision at scale across all channels and all devices. Already, this is being recognized as groundbreaking, and we're just getting started. Let me mention a few points of recognition. On September 26, Gartner [indiscernible] a report entitled Acxiom's Audience Operating System Could Reinvent Data-driven Marketing. In addition, Forrester said, Acxiom, a leading marketing services provider, is investing in the technology and publisher partnerships necessary to stitch together a massive pool of targetable consumers across platforms. The launch was covered in over 30 news outlets, including the front page of the Financial Times. In addition, we are increasingly being recognized for our innovation. For example, in September, we were named as one of the Top 20 Most Innovative Companies by InformationWeek. Later that same month, we were awarded 2 prestigious Stevie Awards for product innovation. This included being named as the People's Choice award winner for Best New Product with our Audience Propensities models. Our digital impact email business garnered 5 W3 Awards, 1 gold and 4 silver, for creating -- for creative excellence on the web. The W3 awards recognize marketing professionals behind award-winning sites, videos and marketing programs. But most importantly, we are capturing the attention of advertisers, publishers and agencies around the world. While I want to be clear that we are just starting our race and we will ramp slowly, I would like to share a few highlights as to our reception in the marketplace. It has been about 30 days since our launch during which time we've trained our sales force and provided scores of demos to clients. We are now engaged with more than 20 customers who are implementing one or more aspects of AOS. We already have 3 non-beta customers live on the platform, and we are close to completing contracts with several additional customers. Our AOS pipeline is strong and is now over $35 million [ph]. And our pipeline is supported by a new website, compelling collateral, and our first ever outbound digital marketing campaigns. We have launched 6 AOS applications. We have an additional 3 new applications coming soon out of development. And we are focused on activating new marketing channels. For example, we are pleased to announce a partnership agreement with DIRECTV, where we will enable advertisers to execute targeted household level, addressable advertising campaigns through DIRECTV's platform. This supplements existing television partnerships with Comcast, Cablevision, Charter and TiVo research and analytics, just to name a few. Our goal is to ensure any channel, including television, can be purchased with both precision and scale. In short, we are extremely pleased with our launch but also want to be clear, we have a long way to go. A few things to keep in mind. While we believe that this technology is groundbreaking, customers want to walk before they run. The single biggest aspect being adopted as a first step is the Acxiom data safe haven which allows advertisers to anonymize and use their first-party data. We are building our use cases and expanding our feature set as we speak. Like any other SaaS offering, it's the real world experiences which will propel future sales. Like all new product launches, our customers are driving hard bargains. Our focus for the remainder of this year will be to drive adoption, not maximize near-term revenues. In summary, we are very excited about the AOS launch and our reception in the marketplace, but ask everyone to temper your near-term expectations. Now let me touch on 3 things that we will continue to emphasize in the coming months. First, I'll discuss the AOS value proposition in a bit more detail. Next, I'll share more about our vision for AboutTheData.com. And finally, I'll touch on our ongoing mission to further transform Acxiom's portfolio and business economics. AOS. Given we have several new investors and others who are learning about our company and journey, I want to get explain AOS and its groundbreaking value proposition. AOS is a platform based on a 3-layer architecture that allows one-to-one marketing at scale with precision across devices, channels and applications in a privacy-compliant manner. So what does that mean? It means that we can give marketers a comprehensive view of their customers. And in one place, they can plan, execute and analyze a targeted and measurable cross-channel campaign across all devices. When we say channels, we are talking about mail, email, display, social, mobile, digital television or even a call center or point-of-sale interaction. When we say devices, we're talking about your computer, your tablet, your television or your phone. And when we say at scale, we mean up to everyone in our 700 million privacy-protected personal database cross-correlated with our customers' proprietary CRM databases. We achieved this by pulling together disparate data sets, online and offline, structured and unstructured and mobile and then distill this data to derive insight. More importantly, in fact, most importantly, we provide an open system architecture that allows for marketing applications to be built on top of the AOS technology. Tools like campaign management, analytics and media planning are examples of several applications that Acxiom has built. But ultimately, our goal is to enable and catalyze others to build their technologies, incorporating the power of AOS. Thus, we don't view companies like IBM, Adobe, Oracle or Salesforce as competitors. Rather, we hope that over time they will become some of our most important partners. And that's just the start. There will be thousands of great ideas, and we want the world to have access to our platform. Our hope is that AOS empowers entrepreneurs everywhere to build and deliver great innovation. Finally, we pull all of this together in an intuitive user interface and most importantly, in a privacy-compliant manner. So why does this all matter to advertisers, publishers, agencies and developers? What is so game changing about AOS? For starters, it's never been done before. Many ad tech companies provide a specific component of the marketing stack but no company has brought this all together on a single platform to provide this singular view of the customer. But still, what makes the Acxiom's specific offering so unique? I'll briefly touch on 3 items. Data. It starts here. We now have the ability to access online and offline data sets. This is a core competency as we have been managing data for decades for our customers, but now we are extending this reach into the digital space with social, search, mobile and television, and we don't want to understate the privacy side of this either, as it is a critical competency. Open architecture. This is a living ecosystem. We developed a platform that enables a vibrant partner community, not just Acxiom marketing applications, but applications from other partners and third-party developers. No company has the ability or resources to develop the best applications to meet the entire marketing suite for every single industry or every single type of customer. Over time, we believe giving the advertisers the choice of multiple options within the marketing stack will be a winning combination. And third, the operating system or UI. Today's ad tech solutions typically provide insight into one part of the purchase funnel in the marketing stack. The Audience Operating System enables these fragmented pieces to be brought together and analyzed in a simple, concise user interface. The days of requiring teams of data scientists to compile and analyze data over a period of days or even weeks are over. The Acxiom AOS provides this capability to anyone in the marketing department in a realtime manner. So what to expect now? Well, we are just a little over a month into our launch and have a lot of work ahead to both educate the market and encourage adoption of our new technology. We are creating a new category. To this end, we are finalizing contracts with customers, providing demos to our prospects, building a more substantial set of APIs in order to allow third-party application development and aggressively adding new features and functionality. For example, our next AOS release is planned for mid-November. This upgrade will include dashboards for specific industries, first party audience segmentation and integration of our digital impact email offering with AOS. As we enter into new customer engagements and develop critical mass for the Acxiom AOS, we understand that communicating key metrics to reflect our progress is important. We are going to start, as I have today, by sharing with you our pipeline. As we establish this business, we will eventually move toward more SaaS-based metrics. That said, we also recognize that the most important long-term metric will be revenue growth. On this, we continue to believe the revenue impact from AOS will be negligible for the remainder of this current fiscal year. AboutTheData.com. In addition to AOS, during September, we also launched our consumer-focused portal called AboutTheData.com. This is an exciting first step, an industry first, and is the start of a longer-term effort to empower consumers. Above all, we believe giving people visibility and choice around their data is simply the right thing to do. In addition, we also believe increased visibility and control is good business sense. After all, our entire industry is predicated on forging connections between businesses and their customers. If people are given more control and choice to voice their preferences, ultimately, they will benefit from better experiences. Acxiom portfolio and business economics. The past 24 months have sometimes seemed like a whirlwind. We've been juggling hoops while spinning plates. And sometimes, our various initiatives can even seem somewhat contradictory. For example, will we continue to invest in AOS and AboutTheData.com? Emphatically, yes. Do we need to be more efficient and drive higher margins in our database business? Again, the answer is an inarguable yes. As an aside, we do this in our personal lives all the time. We save to buy a new home, we find the right place and we invest. And at the same time, we figure out a way to tighten our budget to pay for our mortgage. The same holds true for Acxiom. We will continue to prioritize and invest in innovation. But as we continue to peel back the onion, we believe there are several areas where we can improve our performance. We also know that despite some recent wins, which I will talk about in a minute, we have to make up some ground for our client losses at ITO, and we must run a more efficient database business. As a result, I wanted all of you to be aware that we've made a commitment to reduce our annualized expense run rate by $20 million to $30 million over the next 6 to 12 months. This will be done by reducing our management layers, further simplifying our organizational structure and by methodically standardizing and consolidating many duplicative efforts. Warren will talk about this in more detail later in the call. Now finally, a bit of news on our IT Infrastructure Management business. You'll recall that 3 months ago I shared some disappointing news around ITO client losses. I vowed that this team would work to turn things around. They still have much to do but are showing signs of early progress. For example, since last quarter, we signed a multimillion dollar 3-year upsell agreement with an existing customer. We have successfully launched our PrivateCloud offering and have customers up and running in it. And we have accelerated our efforts to generate new logo business. In fact, our pipeline within ITO is up materially 3x what it was a year ago. While the upsell won't replace the revenue losses, it is a good start. Let me conclude by thanking all of you for your support in our journey. We understand we still have a lot to do and much to prove. We also ask you to be conservative in your estimates as launching a game changing platform requires just that, a lot of change, and that takes time. My enthusiasm for our opportunity, however, has never been stronger. It is an exciting time to be at Acxiom. Now I will turn the call over to Warren.
Warren C. Jenson: Thanks, Scott, and good afternoon, everyone. Before jumping into our second quarter results, I would like to again update you on our progress against some of our other initiatives. First, running a better business. Over the course of the coming months and quarters, we intend to take steps to improve our operating leverage and at the same time, improve our agility and ultimately transform the way we work. Specifically, we believe in the next 6 to 12 months that we can reduce our annual cost base by $20 million to $30 million. Here's how. In order that we get faster and simpler, we're going to streamline our management structure. This means minimizing the distance and management layers between Scott and our front line. Next, we will realign certain parts of our business where roles and responsibilities are not clear or duplicative or scattered. In IT, we will centralize what today is a dispersed effort into one organization. I'm pleased to announce that we have hired Dennis Self as our SVP of Technical Operations and CIO. Previously, Dennis was the CIO at Gilead and before that, worked with me at Electronic Arts. At EA, Dennis successfully led several efficiency-related and transformative technology initiatives. Under Dennis' leadership in the next couple of months, we will bring together what is now a dispersed function. We think, over time, this will result in a higher level of performance, quality of work and, of course, savings. Next Dennis, along with leaders from our delivery and engineering organizations, will be working with me to systematically redefine and standardize our workflows. While this is a longer-term effort, we believe that ultimately this can be transformative. This is about better customer service. It's about standardization, eliminating duplication and making life better for associates. Specific areas on our radar include centralized system monitoring, centralized customer support and data procurement. In summary, at least $20 million to $30 million of annualized expense run rate improvement in the next 6 to 12 months. And you can expect measurable actions before our fiscal year end. Now an update on the separation of our business units. In other words, creating a Marketing and Data Services business that is independent from IT Infrastructure Management and our call center business. Well, we've had a busy quarter. Specifically, we now have completed the separation of our call center business. Between Marketing and Data Services and IT Infrastructure Management, we now have defined and documented the separation of facility usage and splits, dedicated and network circuits and equipment, critical DC services, hardware maintenance, enterprise tools, our service desk, dedicated G&A resources and all hardware and software contracts. In the current quarter, we're working on finalization of our long-term data center requirements, equipment and real estate needs and the development of our long-term approach to an independent IT network. Separation-related costs. In the second quarter, we incurred roughly $2 million of separation-related third-party expenditures. In the back half of the year, we would expect these expenditures to be between $8 million and $12 million, given the magnitude of the tasks at hand. While there will be an ongoing relationship between Marketing and Data Services and ITO for some time, by the end of Q4, ITO will have the capability of operating independently. That said, after that, we will still have a lot of work to do in order that we get our Marketing and Data Service infrastructure the way we want it. Before jumping into the quarter or the specifics of the quarter, let me quickly summarize. The pillars of our long-term success are taking shape. We started by stabilizing the business. We are now finishing up the separation of our business units. We are taking steps to reduce expense and transform the way we work to create a more efficient Acxiom. And at the same time, we are investing in breakthrough technology that we believe can transform an industry. Now a few highlights of our second quarter FY '14 results. Overall revenue for the company was down slightly compared to the same quarter last year. U.S. Marketing and Data Services was up 2%. For the top 100 U.S. Marketing and Data Service customers, revenue was up 5%. For the quarter, 13 out of our top 20 customers in the U.S. Marketing and Data Services showed year-over-year revenue growth. For the top 20 customers, they were up 2% in Q2. We repurchased approximately $23 million of stock in the quarter and to date, $179 million in our program. We have retired approximately 14.5% of our outstanding common shares. Finally, subsequent to the end of the quarter, we announced a $600 million refinancing with a $300 million term loan and a $300 million undrawn revolving credit facility. Now we will discuss our quarterly results in more detail. I will be referring to the slide deck, which was posted on our website. A link was also included in our press release. Starting with Slide 3 and our summary financial results. Total revenue was $276 million, slightly down from $277 million last year. U.S. Marketing and Data Service revenue was up 2%. IT Infrastructure Management and international Marketing and Data Services were down approximately 5% and 2%, respectively. OpEx for the quarter was $257 million compared to $247 million. Excluding unusual items, OpEx was relatively flat for the quarter. This was primarily attributable to lower IT-related expense, offsetting an increase in AOS-related spending and data cost. Unusual items totaled $8.6 million. Approximately $6 million related to lease and employee termination costs and legal settlement accruals, the remaining $2.2 million were third-party expenses incurred as part of our business separation initiative. The business separation costs are included in SG&A. GAAP diluted earnings per share were $0.13 in the quarter, down from $0.21 in the prior year. Excluding unusual items, diluted earnings per share were $0.20. Now moving to Slide 4, U.S. Marketing and Data Services revenue was up 2% for the quarter. IT Infrastructure Management revenue was down 5%. International Marketing and Data Services revenue was $28 million, slightly down from $29 million in the prior year. International other service revenue of $8.5 million increased approximately 8% year-over-year. There was no material FX impact. Slide 5. For the quarter, our operating margin was 7.1% compared to 10.9%. Excluding unusual items, operating margin for the quarter was 10.2%. The decline was driven by lower U.S. Marketing and Data Services margins. In the U.S., Marketing and Data Services margin was 9.9%, down from 13.5% last year. The decrease in margin was again attributable to increased investment in the AOS and data spend. IT Infrastructure Management margin increased to 17.9% compared to 12.3% last year. This increase was primarily due to contract termination fees, which were included in our guidance. Excluding these fees, margins were roughly flat. Operating margin for international Marketing and Data Services decreased to negative 4% for the quarter. This is primarily due to weakness in our European operations. Now a few comments on Slides 6 and 7. Fourth quarter, free cash flow to equity was $18 million, slightly down from $19 million in the prior period. On a trailing 12-month basis, free cash flow to equity was $69 million compared to $159 million in the prior period. Excluding the proceeds from the sale of the background screening business, free cash flow to equity decreased $16 million related -- mostly related to increased capitalized software for the investment in new products. Capitalized software cost increased $3.6 million in the quarter compared to the prior year as a result of our AOS investments. Total cap spending, which includes CapEx, capitalized software and data acquisition costs, increased $4 million in the quarter to $18 million. Subsequent to the end of the quarter, we announced a $600 million refinancing composed of the $300 million term loan and $300 million undrawn credit facility, which added increased liquidity and financial flexibility. The proceeds of the term loan were used to refinance our existing $215 million term loan and for general corporate purposes. For the quarter, we continue to maintain our strong cash position, a conservative leverage profile and a strong balance sheet. Now on to guidance. There are a few things we'd like to mention upfront. Again, tuck-in acquisitions are a possibility. Given these acquisitions may not come with revenue or earnings, they could be dilutive to our guidance. Our guidance excludes any unusual items and separation-related costs that may be incurred during the fiscal year. Next, looking ahead for Q3, we continue to expect overall margin pressure in both Marketing and Data Services and in ITO. With that said, for fiscal 2014, we now expect revenue to be slightly down for the year but continue to expect diluted earnings per share, excluding unusual items and separation costs to be roughly flat. Thanks for joining us today, and we look forward to updating you throughout the year on our continued progress. Operator, we will now open the call to questions.
Operator: [Operator Instructions] And our first question comes from Mark Zgutowicz from Northland Capital Markets.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Scott, thanks for the AOS pipeline number, it's helpful. Just curious how you sort of quantify that number. Is that sort of a forward 12 months? Whatever detail you can provide there would be helpful.
Scott E. Howe: It's a forward 6-month number.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: A forward 6-month? Okay. And is this sort of end of sales cycle or how are you thinking about, I guess, that further?
Warren C. Jenson: Mark, I might just jump in here, it's Warren. I think over time, we're more than likely to move to 12-month number. Six months has been more of a traditional measure that we have used inside the company. But I think going forward -- we actually had a little bit of dialogue internally about that over the course of the last couple of weeks. More than likely, we'll move to a 12-month number as clearly we are prospecting not only for the next couple of quarters but beyond that time frame, too.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Okay. Great. That's helpful. Maybe if you could just talk about -- I think you mentioned there were 3 sort of non-beta customers that are live today. Can you talk just about what verticals they may be in and whether or not they were the -- they were original sort of beta customers prior to the launch?
Scott E. Howe: Yes. In fact, why don't I even just take a step back and just talk about AOS more generally. I'm pretty pleased with where we are. Our traction has been good. I mentioned, strong industry buzz, a lot of client enthusiasm. We are high double digits in terms of the number of conversations that are underway. And those conversations have been fairly enthusiastic. I also think relative to anything Acxiom's done historically, we've supported this launch with a lot more product collateral, training materials and the like. So feeling pretty good about the $35 million and high-double digits in terms of pipeline. That said, I don't want to paint things too rosy. I will also say, on the other side of the ledger, we need to tweak our execution to be more effective. And so we have had a lot of conversations with existing clients, where the strongest piece of feedback that we've gotten is that asking them to create a brand-new contract is slowing things down fairly substantially, that what they've come back to us with is, we've got to eliminate our bureaucracy and just execute riders to their existing MSAs. That's been one of the biggest deal blockers with our existing clients, and that was a little bit of a painful learning. The other thing that we've learned along the way is although we've trained our sales force, I think, exceptionally well, our clients continue to want to talk to the product managers and engineers who have actually built the technology. And so we're contemplating forming some kind of tiger team with -- that includes some product representation. So those folks, we can just parachute them into all of our prospecting and new client conversations. But with that color, I guess, I'll go back to what I said all along, which is we're pretty enthusiastic about the future, but we're also very realistic about the present that since it's a SaaS-based new product launch, the one thing I know across all of them is they never happen quite as fast as you'd like, and there are always some course corrections that are necessary. And so I guess, our continuing counsel is please be conservative in your numbers for the remainder of this year.
Warren C. Jenson: Mark, I might add one other thing that I think would be useful for everyone on the phone. In the past calls, we've talked about our business model involving subscription fees, usage fees and share of revenue. While I can definitively tell you, as Scott said, there's a lot of negotiation, particularly when you launch a product, I can tell you that the model is holding up. And if you were to ask me that question today, is that the model, I would say that it is holding up in the marketplace.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Okay. Lots of great color. Just on a cost efficiency side. Warren, can you just talk about the linearity of that $20 million to $30 million? Is that more back-end weighted at the end of the 12 months? Some color there would be helpful.
Warren C. Jenson: I would say -- and I'm not ready to say linear or back-end loaded, it's just going to be more linear than it is going to be back-end loaded. We're going to work as we speak. The one thing that we are doing, however, is that we're being very methodical and very long-term in our approach. There's no slash and burn here. So what we're doing is we're carefully examining layer by layer our management structure to figure out how we can better organize ourselves, and we're involving our associates in that effort, too, or will involve them as we go through it. We're methodically looking at our procured spend to see where we can save and where we can save it. We're then looking at areas right where we might have duplication or opportunities to centralize, and create savings like in IT. And then, finally, which is a lot more -- which is going to take longer, is working with, say, Mike Lloyd and our leaders in engineering, is we are looking at all of our workflows and see -- and looking specifically where we do things that are one-off and where they could be done in a common, in a scalable way and then with investment, but also in a very methodical way. We're going to go after those areas. Those you can't do in 2 weeks because you just -- you have to get a new process in place, and you have to build your way into it. That's going to be a longer-term effort. But I can't say definitively this month or that month but I can tell you our pace will be a lot more linear than it will be back-end loaded.
Operator: And our next question comes from Todd Van Fleet from First Analysis.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Just a quick one because it's a bit noisy here but -- then I'll hop off. But just thinking about the core business, the Marketing Services business, kind of flatlines here. I understand that there's a lot of focus and attention on AOS at this point. But what's been the biggest obstacle towards getting kind of the traditional kind of legacy business going to you guys in kind of any meaningful way?
Scott E. Howe: Yes. I mean, I think, more than anything, it's execution, it's sales, quite frankly. Overall, our Marketing Data Services pipeline is down slightly from a year ago. I think it's about 8% down versus a year ago at this time, and that's driven, to your point, by the legacy database business. AOS wasn't a part of it a year ago, and it's pretty small relative to the overall numbers. We've had a couple significant sizable head-to-head opportunities. They were competitive takeaways, which we didn't win. And winning any of those would have made a pretty significant difference. It's great to get to the finish line as 1 of 2 finalists. But in a sense, it makes it more frustrating when you don't cross the finish line as the winner. We've also pushed some opportunities out of this fiscal year. So net-net, I think you nailed it. I'm pleased with where we are on AOS, but we have to improve on the database side of the business.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Scott, is there any anti-selection going on in the client base at this point in that core business?
Scott E. Howe: I'm sorry, is there any what selection?
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Deselection or anti-selection. Are you kind of selecting certain customers out based on profile and given where the business is moving or are you looking kind of holistically or strategically at the book of business and you're saying, well, we should be in these areas, and shouldn't be in others?
Scott E. Howe: Yes -- I guess, yes and no. So short term, the answer is absolutely that we have made a decision as a company over the last 2 years to really focus in around our largest clients and build for their needs. So many of our top 20 clients were instrumental in creating the blueprint for AOS. In fact, at our launch party, which was a party where all of them were at of. But this isn't a launch, this is a celebration of you because you guys built this thing. It literally came exactly from the blueprints they specified. So yes, there was a conscious decision to focus in around the big folks. That said, we believe that going forward, AOS offers a pull-through to the core database business. We haven't seen that yet but we hope to over time, because AOS can be deployed not only on top of our own first party databases but on the other folks as well. So to the extent someone has a homegrown database or they're using a competitive offering, AOS gives us the opportunity to have a layer on top of what they're already using. And in so doing, develop relationships with clients or prospects that we wouldn't necessarily be talking to about the custom database business. As we foster those relationships, we're hopeful that, over time, that will pull through additional database business.
Operator: And our next question comes from Dan Salmon from BMO Capital Markets.
Daniel Salmon - BMO Capital Markets U.S.: I jumped on a little late, so I apologize if some of this was covered. But I had 2 questions, 1 for Scott and 1 for Warren. So you talked a little bit about top 20 client take-up and sort of direct conversations with clients. I was curious if you have any insight on selling into the agency channel and whether that's a near-term priority, a longer-term priority once you work through your own client base. And then second, just for Warren on the $20 million to $30 million of cost reductions, is there any associated revenue with that, that you anticipate?
Scott E. Howe: Yes. So, Dan, first off, thanks so much for your question. We actually talked about that substantially before you got on the call. I'm just messing with you, we didn't. With the top -- the agencies, really good question. And we think that is an untapped opportunity for us. We haven't talked about it a lot, but that's not because we haven't been in there having quite a number of conversations. And remember, I'm an ex-agency guy, so I've walked in their shoes and I feel like I can go in and have a conversation with anyone in the industry and really understand what they're trying to accomplish, their business model and how AOS can help them achieve spectacular new things. Sometimes working for an agency is like getting hit in the head with a hammer every day. It's always about we want you to do more for less, more for less, more for less, every day. Well, AOS gives agencies a ton of new data information with which to make their existing campaigns perform more effectively and allows them through the open architecture to build applications on top of our stack and generate new revenue streams for those agencies. We've been very deliberate about how we're going to work with agencies. And so what you won't see us do is announce 12 partnerships tomorrow because we really sequence, and we've been methodical about how we want to -- we'll bring on someone first, we'll work, we'll make sure it really works for them before we connect with the second agency. So more to come on that but it's certainly -- they've been part of our prospecting efforts.
Warren C. Jenson: And then, Dan, to your second question, we see no negative revenue impact from our cost action. And in fact, I'd like to elaborate that -- elaborate on that just a touch. Both Scott and I, I'd say, the minute we wake up in the morning and every day when we come into work, we think about our customers. On a personal level, I try to go on customer calls and the first priority I make is when there's a pricing issue to drop everything else and jump on the phone to try to create quick resolution. And then Scott does that every single minute of his day. So as we think about cost takedowns, the first priority is protecting and actually enhancing our customer service. So when we think about taking cost out, it's actually to make our business simpler so that we can do customer service better. That's our priority. That's the way we're focused in the separate as well.
Operator: And our last question comes from Brett Huff from Stephens Inc.
Brett Huff - Stephens Inc., Research Division: One point of definition. Not to put too fine point on this, but I think in the past, you guys had talked about tens of millions of either bookings or pipeline related to AOS, and is that prior number equivalent to the $35 million that you talked about today?
Scott E. Howe: The answer to that question is yes.
Brett Huff - Stephens Inc., Research Division: And that's pipeline, not bookings, correct?
Scott E. Howe: That is correct.
Brett Huff - Stephens Inc., Research Division: Okay, that's helpful. And then in terms of the cost cuts, if I just do quick math and assume kind of -- run it through the P&L, it seems like those that -- taking the midpoint of that $20 million to $30 million or $25 million, that give you about $0.20 worth of help on the margin line or on the EPS line. Could you give us a sense of when that comes in? I think this was asked a little bit differently on the linear versus back-end loaded. But can you -- is there a way you can parse that a little bit this year versus next year?
Warren C. Jenson: Well, I won't say anything more, Brett, relative to the timing. I will tell you what will be -- just as I said to the earlier question, it will be more linear than it's going to be. Just -- we're not going to show up next December and say -- or next October, November and say, gee, and suddenly all of it appeared. We're going to work as we speak. So it will be more linear. The second thing that I want to point out is we're talking about run rate savings. So like in any other company, you've got to invest and you have to save. And there are going to be other parts of the company where we want to invest. We are all in for AOS and should be all-in for AOS and AboutTheData.com. So like any other technology company, if you don't invest, if you don't innovate, you don't survive. So think about this as run rate savings. There are going to be other parts of the company where we will invest, but we also will look for ways to save.
Brett Huff - Stephens Inc., Research Division: Okay. And then a couple more questions, just a couple of more questions then I'll hop off. In terms of the customers you have on now or some of the betas that are on, can you give us any anecdotal thoughts on the kind of lift that people are seeing who are using this? Obviously, there's a lot of folks who are excited to hear about the kind of results. I think ultimately, it's about lift and better targeting. Do you have any anecdotes that you could share with us that give us a sense of that or as a proof point?
Scott E. Howe: Yes. Probably not right now, but I will tell you, I think that's the biggest single proof point that we need. We always struggle, quite frankly, in getting our clients to allow us to create case studies. We all kind of believe that their data-driven marketing strategies are their competitive differentiator or one of them. And so it's always a challenge to get them to sign up and offer up case studies. But I kind of -- I would tell you that I think that's one of the things that over the next 3 months you'll see more of, because we need more proof points from some of those, even if it's white boxed and disguised to say what kind of lists they're generating and be very specific about it really channel by channel, what kinds of things are they seeing in television versus mobile versus social versus online.
Brett Huff - Stephens Inc., Research Division: Okay. And then one last question. In terms of -- I think this question was asked a little bit before but I want to try a different angle. In terms of -- I think, maybe it was Scott, you addressed this in your opening comments, why Acxiom can succeed at this and not other data management providers? And can you just -- is my takeaway on that, should that be -- is it primarily the data assets that you can leverage, your history, or is there more -- is there a different answer that I should also be aware of?
Scott E. Howe: Yes, it starts with data but it's not just the data and the first party data. It's also this construct of the safe haven. So the ability to connect both online and offline data such that people, it's not just about creating a platform for online nor is it just about creating a platform for offline. But it's both of those together, it's connecting what historically folks have been talking about as a DMP versus what historically they talked about as their CRM or first party database and making both of those things work seamlessly. And then finally, it's about the open architecture or flexibility. Our intent here isn't to create the be all, end all marketing stack. Rather the existing applications that we've built are largely to illustrate what can be done with AOS. And so we don't want -- as I said earlier, we don't want to go necessarily head-to-head with all the entrenched players, rather we see an opportunity for them to connect with what we've built and we become a catalyst for helping them do what they already do even more effectively. Going back to my first few weeks on the job as the AOS idea was just starting to take shape, I went and talked to a number of clients and I asked them about going down the path of becoming a full-service, broad-based offering versus creating the AOS engine that powers the offering. What I heard consistently from those clients is that they want to choose best-of-breed providers, but they want one system to link it all together. And so we'd like to believe that we are the underlying system that helps link it all together, but not necessarily the company that will ever operate the full suite supermarket for every need a client may have.
Operator: I would now like to turn the call back to Warren Jenson for any further remarks.
Warren C. Jenson: Well, let me just simply wrap up, everybody, by thanking you again for your support on our journey. We're very appreciative of all your help and suggestions and we look forward to reporting in the coming quarters. Thanks for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.